Operator: Good morning, ladies and gentlemen, and welcome to Century Casinos second quarter 2015 earnings conference call. This call will be recorded. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. I would like to introduce our host for today's call, Mr. Peter Hoetzinger. Mr. Hoetzinger, you may begin.
Peter Hoetzinger: Thank you, operator, and welcome everyone to our second quarter 2015 earnings conference call. Joining me on the call today are my Co-CEO and the Chairman of the company, Erwin Haitzmann; as well as Margaret Stapleton, our Executive Vice President of Finance. Before we begin, I need to remind you that in our remarks today we will be discussing forward-looking information, which involves a number of risks and uncertainties that may cause actual results to differ materially from our forward-looking statements. The company undertakes no obligation to update or revise the forward-looking statements, whether as a result of new information, future events or otherwise. We provide a detailed discussion of the various risk factors in our SEC filings and encourage you to review these filings. In addition, throughout our call, we may refer to several non-GAAP financial measures, including but not limited to adjusted EBITDA. Reconciliations of our non-GAAP performance and liquidity measures to the appropriate GAAP measures can be found in our news release from this morning and in the 10-Q filing, which is available in the Investor Section of our website at cnty.com. I will now comment on results of the second quarter. What a great first half of 2015. Already the first quarter showed excellent growth with adjusted EBITDA up 72%, and now this great second quarter. Net operating revenue up 20% and [indiscernible] adjusted EBITDA is up 116% compared to the same quarter a year ago. But the true operational performance is even stronger. Excluding exchange rate swings on a constant currency basis, net operating revenue is up 34% and adjusted EBITDA [indiscernible] up 144%. Net earnings came in at $6.6 million or $0.27 per share. That number was fueled not only by increasingly profitable operations, but also by a one-time gain from the sale of some of our cruise ship casino contracts for $3.1 million net and per release of valuation allowance in the amount of $1.5 million net. Here are another two key indicators, showing how strong the quarter really was. Earnings from operations, net of the one-time gain from the cruise ship casino sale jumped from $300,000 last year to $4.5 million this quarter. And net cash provided by operating activities increased from $2.7 million to $4 million. Congratulations to the entire Century Casinos' team for delivering an excellent performance at pretty much all properties and at all levels. The results generated by each region or segment as part of our total consolidated results are as follows. Canada is now our strongest market by all measures. We generated 35% of our total revenues and 57% of EBITDA. Poland remains very solid at growing, generating 34% of our revenues and 21% of EBITDA, closely followed by our operations in the U.S., which contributed 19% of total revenues and 20% of EBITDA. Our balance sheet continues to be clean strong and in very good shape. As of June 30, 2015, it shows net debt of $50.7 million, only 0.9x trailing 12 months EBITDA. And this even includes non-cash debt of $15.7 million related to a long-term land lease for Century Downs in Canada. Total assets on our balance sheet reached $195 million. The book value per share increased to $5.05 as of June 30. In the quarter, and excluding construction spending for Century Downs, total CapEx was $1.2 million or close to 4% of revenues, spent mostly on new gaming equipment for Colorado, Poland and for new cruise ship casinos. The results on a property-by-property basis or as in local currency look as follows. The Century Casino Hotel in Edmonton showed 4% revenue growth and 11% EBITDA growth. The EBITDA margin increased from 37% last year to 39%. Most of the growth was generated at the gaming tables, specifically at the baccarat, roulette and blackjack. This is our largest property with 762 gaming machines and 35 gaming tables. An addition of 25 gaming machines are scheduled to be added to the gaming floor during the third quarter. The Century Casino in Calgary was the only property that had a more challenging quarter, with revenues and EBITDA down 6% and 12%, respectively. Nothing to be too concerned, however, as the main reason for the decline was the low hold on the table games. The hold percentage was 10.8% versus 14% last year. The good news is that the total drop on the gaming tables actually was up 17%. At both properties we continue to market and grow the players' club loyalty program and to specifically focus on growing table games revenue. Our newest property and our third major casino investment in Canada, the Century Downs Racetrack and Casino at Calgary is now fully operational. The casino opened on April 1 and the racetrack three weeks later on April 25. We've been anticipating the opening with great excitement, and so far this new property does not disappoint at all. It is holding up to our high expectations really well. Adjusted EBITDA in Canadian dollars was $2.9 million and the EBITDA margin was 43% in just its first quarter of operation. The casino, as most new casinos do, will rent up further over the next few quarters. The results of this quarter are very, very encouraging, and confirm our vision that Century Downs Racetrack and Casino will become one of the leading operations in our entire portfolio of casinos. We are pushing our loyalty programs signups and continue to specifically target the markets of north and northwest Calgary, both of which do not have a casino. As the construction going on to finish the project, such as construction of a second barn, landscaping, curb and gutter work and pavement for some parking areas. Century Downs is the only horse racetrack in the Greater Calgary area. The Racing Entertainment Center includes a casino with 550 slots, seven video lottery terminals as well as food and beverage and off-track betting facilities. This location offers huge potential in the years to come. Situated just north of Calgary, adjacent to the successful CrossIron Mills regional shopping mall that attracts 12 million visitors annually, it has direct off-line access from the major highway connecting Calgary and Edmonton, the busiest highway in Western Canada. Certain financial conditions for the operation of Century Downs are subject to the terms of an agreement between Alberta government and Horse Racing Alberta, which is passing March of next year. Agreements to support the horse racing industry in Alberta had been in place for almost 20 years. And Horse Racing Alberta is representative of the horse racing industry is working diligently to get the agreement extended, but there can be no certainty that such an extension can be accomplished at the same terms as the current agreement or can be accomplished at all. In general, Alberta provides an excellent regulatory and economic environment to our casino investments. Over the past 10 years, Alberta's population has increased by 27% to over 4 million, the fastest growth rate of any Canadian province. The median income is 24% above Canada's national average. Alberta is one of the lowest unemployment rates in all of Canada. Albertans show an above-average propensity to gamble, relative to the rest of Canada. And most importantly the number of casino licenses is limited. In addition to our three casinos in Alberta, we have also entered into off-track betting business. In May, our 75% owned subsidiary Century Bets! started to operate pari-mutuel off-track betting network, and already generated $1 million in revenues and $200,000 in EBITDA for the quarter. Through Century Bets! we have agreements with close to 100 racetracks throughout North America and worldwide for the sourcing of common pool pari-mutuel wagering contract. And we hey have contracts with 14 off-track betting parlors in Southern Alberta. We are providing pari-mutuel wagering content like live video to them. In return we retained a handle from all bets placed on horse races, minus commission fees and expenses, and we are very pleased with the initial success of this venture. Moving now to Colorado, where a great round of pub casinos continues. Net operating revenue of the Century Casino and Hotel in Central City was up 5%, EBITDA was up 33%. In Cripple Creek, revenues were up 11% and EBITDA was up 52%. This was the fourth quarter in a row with EBITDA [audio gap]. We continue to see improvement in every segment of our database as well as our retail customers and we see growth in both visitation and spend per trip. The revenue increase, decrease, comes from both table games and through slot floor, its broad based and pretty strong. The Colorado gaming markets continue to be very competitive. We continue our marketing and promotional campaigns with a focus on VIP player development. Central City has street festivals planned for August and September, which will help draw people to the Central City market. In Cripple Creek, we have been granted a 24 hour alcohol sales license on July 17, which may also help slot and table revenue a little bit. So far, as third quarter started out strong and both properties are continuing to gain market share. The revenue generated by the cruise ship casinos and in Aruba was down year-over-year, because we have sold casino concession agreements for eight ships to Norwegian cruise line during the quarter. We received a net amount of $3.4 million and will for the next three years provide limited contracting services for those casinos. At the same time, we've added three smaller ship casinos during the quarter on the Mein Schiff 4 from TUI Cruises and the Star Breeze and Star Legend from Windstar Cruises. In Aruba, the Radisson Hotel was sold and rebranded as the Hilton Aruba Caribbean Resort and Casino. There was no impact or change to our agreement as a result of the sale. And finally, turning to Poland, another great quarter for Casinos Poland Limited of which we own 66.6%. In local currency, revenue was up 10%. EBITDA more than doubled, it was up 123%. The EBITDA margin for the quarter was 14% Everything was up. Table game revenue, food and beverage revenue, but the strongest driver was the slot floor with slot machine revenue up 28%. At the same time, we managed to reduce operating cost and expenses at 4% through a successful cost cutting program at all nine locations. We added another 57 machines during the quarter and introduced the slot player program at thee more locations. We plan to further increase slot capacity throughout the year. And with the additional higher-quality slots we now have to offer, coupled with the further closing of non-casino slot arcades throughout the country. We anticipate continued solid growth in stock revenues in Poland. Well, that concludes the presentation of our second quarter results. We are very pleased with our overall progress. All operating segments are in good shape and still show great potential for further organic growth and we are never done looking for additional improvements for ways to do things better and more efficiently. I thank you for your attention. And we can now start the question-and-answer session. Operator, go ahead please.
Operator: [Operator Instructions] Your first question comes from the line of Robert Labick from CJS Securities.
Robert Labick: Great margin this quarter, especially at the new racino. Could you talk a little about how stable margins are there and more broadly by geography as well?
Peter Hoetzinger: Yes. Erwin, would like to comment on that please, the margins at Century Downs? Erwin? Is Erwin on the line? Okay, so we've lost Erwin. Robert, Century Downs has slots only and slots carry a higher EBITDA margin compared to table games. And that's one of the reasons why the EBITDA margin is higher. On the other hand, obviously we have the racing operation, which doesn't carry higher EBITDA margins, but overall, we believe that we should be able to hold EBITDA margin that are as highest. In Edmonton, it's not that higher as it was in this quarter. So I think, say, around 40% margin, I think is sustainable. Next question please.
Operator: Your next question comes from the line of Alex Fuhrman from Craig-Hallum Capital.
Alex Fuhrman: I wanted to ask a little bit about the strength in Poland, where you continue to grow very nicely. I think you had mentioned on the conference call that you've added some new machines to those properties. Is the strength in Poland, I mean how much of that has been driven by the investment you've made in those properties this year versus the shift in the regulatory landscape over there versus just perhaps strength or weakness in the overall market in Poland?
Erwin Haitzmann: Peter, would you like me to come in?
Peter Hoetzinger: Yes.
Erwin Haitzmann: Peter, would you like me to respond?
Peter Hoetzinger: Yes. Please.
Erwin Haitzmann: Three factors. The first one is that when you refer to the change in the regulatory environment, and you mean the closing of the slot machine casinos, that has certainly helped in a few places. The second influence is the addition of machines and the fact that these new machines are working very well and are well-accepted by the customers. And the third effect is that the cost controls that we have stringently applied around the end of the year are really are taking effects now.
Alex Fuhrman: And then switching gears quickly to Canada, wondering, I mean that obviously makes sense with your Calgary property about what you said about the take rate. I'm wondering though, I mean with results there, you've been forgetting about the take rate issue, is it possible that some of your traffic there and just in terms of overall demand could have been pulled over, given the Century Downs opening and all of the buzz and end-marketing around that opening. So just trying to wonder, I mean I know those are on other ends of town here, but there are potentially some trade-off there as Century Downs ramped up.
Peter Hoetzinger: Yes, so little bit maybe 1% or 2% on the slot side. Erwin, any more color to that.
Erwin Haitzmann: Actually, it's starting to turn around again, and because the slot revenues are increasing a little bit in old Calgary Casino already. So we could certainly say no influence whatsoever, certainly no negative one.
Operator: Your next question comes from the line of Bryan Maher.
Bryan Maher: A quick question, actually two questions. One, in Poland, are there any more thoughts of license relocations or site relocations. I remember in Kraków there might be an opportunity to maybe get a better location, and then the other property in Poland that you have that's currently quasi-closed. Can you address those? And then I have a follow-up?
Peter Hoetzinger: Erwin, please.
Erwin Haitzmann: The quasi-closed one, we don't really think that we will reapply once this license expires. That market is just not attractive. And quasi-closed doesn't mean closed, it only means to have it open to the extent as necessary by regulations. And with regard to Kraków, yes, we still do have considerations and we are looking around and trying to find a better property.
Bryan Maher: And then on the acquisition front, Peter, maybe you can address to the extent that you can anything that you're seeing. I know you're constantly kind of exploring around the world, potential opportunities in South America with the investment you made a year ago and out in Asia. Can you give us any update on how to think about that seeing as your kind of near-term prospects I think are fairly understood by the market, it's what we don't know that we'd like to know.
Peter Hoetzinger: We see a number of attractive opportunities, both in terms of new license awards as well as on the acquisition front. On the acquisition front it's all about finding the project that offers great future potential, but at the same time is available at long EBITDA multiples. And I think we have identified a handful, or say, three or four such opportunities in North America as well as in South America. We would pay a little bit more in North America compared to South America in terms of EBITDA multiples. Asia, nothing really new in Asia. We are discussing potential partnerships, because we wouldn't want to go into any of those Asian markets without a strong local partner. Progress is rather slow in Asia, but there is more progress in Canada, the U.S. and in South America on the acquisition front.
Bryan Maher: And can you give us an update to the extent, if there is any, on your investment down in South America that you made a year ago?
Peter Hoetzinger: Not much of an update. The casino within the province of Mendoza is going from strengths-to-strengths. Our contracting work bears fruit. We see that the real potential of this agreement is the opportunity to increase our stake to 50%. That's a three-year option. It has now 2.5 years left. And what we've said is that we wait until a few months after the election in Argentina, which is I believe in October, so probably in the first half of next year you'll see us to make certain decisions that will have or could really have a material impact, but not before that.
Operator: Year next question comes from the line of Robert Magic from CJS Securities.
Robert Magic: Just wanted to follow-up on Poland. How are gaming trends there trending against your internal expectations? And if it's possible to quantify, how much impact are you seeing from your legal street slot competition?
Peter Hoetzinger: Erwin, can you comment on that?
Erwin Haitzmann: I'm not sure whether I understand the question well. You're asking how much the trend in market is looking for or against our trend. Is that what you're asking?
Robert Magic: Yes. And then how much impact you're seeing from your legal street slot competition?
Erwin Haitzmann: From the closing of the slot casinos?
Robert Magic: No, from the street slot vendors.
Erwin Haitzmann: From the street slot?
Robert Magic: From the street slot arcades that are being phased out by the slot legislation?
Erwin Haitzmann: A number of the slot arcades have been closed. And in few markets, we see a positive effect.
Operator: We have no further questions in queue. End of Q&A
Peter Hoetzinger: Thank you everyone for your interest in Century Casinos and your participation in the call. For a recording of the call, please visit the financial results section of our website at cnty.com. We look forward to getting together with you again for our third quarter earnings call in November. Goodbye.
Operator: This concludes today's conference call. Thank you for attending.